Operator: Good day, ladies and gentlemen. And welcome to Asure Software Corporate Conference Call. My name is Sahid, and I will be your coordinator for today. At this time, all participants are in a listen-only mode. We will facilitate a question-and-answer session towards the end of today’s presentation. (Operator Instructions) I would now like to turn the call over to Cheryl Trbula of Asure Software. Please proceed.
Cheryl Trbula: Thanks you, Sahid, and welcome everyone to Asure Software’s conference call. Before we start, I’d like to mention that some of the statements made by management during this call might include projections, estimates and other forward-looking information. This will include any discussion of the company’s business outlook. These particular forward-looking statements and all other statements that may be made on this call that are not historical are subject to a number of risks and uncertainties that could affect their outcomes. You are urged to consider the risk factors relating to the company’s business contained in our latest periodic statements on file with the Securities and Exchange Commission. These risk factors are important and they could cause actual results to differ materially. This call is also being recorded on behalf of Asure Software and is copyrighted material. It cannot be re-recorded or re-broadcast without the company’s expressed permission and your participation implies consent to the call’s recording. After we’ve completed our review of the quarter, we will open up the call for questions from the financial analyst community. I would now like to turn the call over to Pat Goepel, CEO of Asure Software. Pat?
Pat Goepel: Thank you, Cheryl and I’d like to welcome shareholders, clients, employees and interested parties in the Asure Software 2012 fourth quarter and 2012 annual call. Before we get to the results and I will let Jennifer Crow, our CFO speak to the results, I would like to walk down memory lane if I can on the year that 2012 was. Because 2012 was a historic year for Asure. From a timeline perspective, it was definitely a year of change. We started the year fresh off two acquisition of ADI Time and Legiant Time that were acquired in the fourth quarter of 2011. So our first quarter in 2012 we were integrating those time and attendance acquisitions, and we did a phenomenal job. We renamed Asure -- time and labor AsureForce and we also now have AsureForce and AsureSpace but in the fourth quarter of 2011 that was the genesis of AsureForce. We renamed our products and what we did with those products then ultimately was we went to our next generation platform which now is version 11 and that just came out at the end of the fourth quarter. What we also did in October in AsureForce was we signed an agreement with FotoPunch where we have rights to the source code and what’s exciting about that is that not only took our development from a perpetual license product in some areas to a cloud-based product but now we have the opportunity with facial recognition, voice recognition to be mobile. That opens up our marketplace for AsureForce quite a bit and we’re excited about the prospects going forward. Recently we signed our first customer in facial recognition and that was exciting proof point of the strategy, that has been AsureForce. We have partnerships along the way. In June, we had a big partnership deal with MPAY, and MPAY has been a terrific partner for us and they positioned us for growth going forward. So that was another milestone in AsureForce. On the AsureSpace side, we entered the year kind of relatively quiet. We had a nice SaaS conversion in our flagship product NetSimplicity, and we were making very, very good grow prospects. In the July timeframe, July 5th to be exact, we acquired PeopleCube and that was the big swallow for our company, this $8 million company in PeopleCube out of Framingham, Massachusetts gave us a London presence. So we now have a European office in London and European customers and we’re really excited about that. What we also did at that point in time was sign our first agreement with Deerpath. And Deerpath, our financial partner, we were able to borrow $14.5 million at this time, and we have a facility at the time which is another $5 million for acquisition. Recently we announced in our press release today that, that $5 million facility is now a $10 million facility. So you see a pattern of growth, change, acquisitions, organic growth and positioning and we're really becoming an exciting company. We also rolled out a new product in our SaaS area, our cloud based area as well as the mobile application on AsureSpace. So again we’re really going after the cloud based repetitive marketplace. AsureSpace started as a conference room scheduling application and recently we've been broadening out our suite of products into a real estate optimization software. This is enhanced with the acquisition of PeopleCube but also when we go to clients now, we not only talk to them and talk with them about partnering and solutioning around the conference room scheduling but also integrated hardware as well as desk sensors to keep track of the utilization of their cubes. And with cost of real estate being the second highest on the expense behind employee payroll, we feel like we have a solution now that will help companies with both the employee labor costs as well as their real estate costs. We now also have broadened out the analytics around our solutions in both AsureForce and AsureSpace. And we are excited about those opportunities because now the clients can measure their ROI and in short we’ve acquired integrated, merged, rolled out new technology and developed the physical presence in Europe. I want to thank the people, the clients and the investors that made 2012 a memorable year for Asure. As it relates to the fourth quarter, Asure had a very solid quarter. We’re ramping up our sales force to take advantage of our growth opportunities. We are selling our cloud-based solutions and products. We’re introducing our mobile products, success in the quarter. We welcomed some really nice clients Queen’s School of Business, StoneGate Senior Living, Nielsen, Harvard Pilgrim and Barrick Gold Corporation. We are remaking the company and excited for the prospects of 2013. We also recently filed the shelf S-3 and amended our facility that I talked about with Deerpath. What those agreements do is position us for growth via further acquisitions and they position us to accomplish quite a bit in the future with a strong capital foundation. It will be exciting to see what 2013 brings us, and before we go to 2013 and talk about the possibilities, I’d like to turn it over to Jennifer Crow to talk about 2012 and the fourth quarter financial results.
Jennifer Crow: Thanks, Pat. Good afternoon everyone. I am going to take a few minute here to go over the fourth quarter financial highlights, and then Pat and I will be happy to answer any questions during the Q&A period at the end of this afternoon’s call. In the fourth quarter, revenue was at $5.9 million, up 63% year-over-year, and year to date revenue was at $20 million which is up 82% year over year. These increased revenues are driven by the acquisitions of PeopleCube in the third quarter of this year, and Legiant and ADI acquisitions in the fourth quarter of 2011. Our non-GAAP revenue this quarter was $6.3 million and $20.9 million year to date. The difference between GAAP and the non-GAAP revenue for this quarter is 317 and year to date is 978. And this represents the amounts recorded as a result of the business combination accounting rules that require a fair market valuation of the PeopleCube deferred revenue. Recurring revenue as a percentage of overall revenue increased to 79% compared to 80% last quarter and recurring revenue for the year was 79% compared to 72% in 2011. EBITDA for the quarter was $948,000 excluding one-times. We incurred $175,000 in one-time this quarter which consisted of legal and professional fees of $146,000, severance, recruitment and relocation of $26,000 and other one-time fees of 3000. EBITDA year to date excluding one-times was 3.3 million. We incurred $2.4 million in one-times which consisted of $1.1 million in legal and professional fees, OID and mark to market at 465, severance, recruitment and relocation of 395,000 and then a loss on the debt conversion of 198,000. Our net loss excluding one times for the fourth quarter was a loss of $0.09 per share. GAAP net loss per share amounted to $0.12 per share in the fourth quarter. The per share difference of $0.03 is due to the one-time items. Gross margin for the quarter was $1.6 million, or 60% higher year-over-year. Gross margin year to date was $6.7 million or 78% higher year over year. Our cash flow from operations for the quarter was $1.3 million and $2.8 million year to date. We had capital expenditures of $737,000 for the quarter and $904,000 year to date. 400 of it was due to the acquisition of the FotoPunch technology that we completed in Q4. For first quarter 2013, we are guiding a range of $5.7 million to [6.0 million] in revenue and EBITDA excluding one-times to be between 400,000 and 600,000. For 2013 we are projecting $25 million to $27 million in revenue, $6 million in EBITDA excluding one-time. We are maintaining our 2013 revenue guidance range but due to the increased investment in our direct sales channel and our spending for growth, we’ve revised our 2013 EBITDA guidance excluding one-times to be at the low end of our previously communicated range. At this time, I would like to turn the discussion back to Pat Goepel, our CEO for closing comments and then we will open it up for questions. Thank you.
Pat Goepel: Thanks Jennifer. In short, 2012 was a memorable year again acquisitions, remarketing the company into the two divisions, growth, technology releases and a lot success. Our guidance going forward 25 million to 27 million, we feel we now have a very predictable stable growth orientated solution set. We have -- beginning of the year we’re in the low 70s, now we are in the high 79-80% range in repetitive revenue and SaaS growth. From a marketing and sales perspective, we are investing in marketing and sales. You will see a new website this quarter. Our sales people have grown. A couple of years ago we were in the area of 10 sales people, we’re now close to the 30 salesperson range. And really they are going out and getting cloud-based mobile-based repetitive revenue, and we feel that that's an excellent model going forward. We’re not finished on cloud the first quarter. We are -- have already executed taking out quite a few hosting costs or IT costs with the PeopleCube acquisition and the acquisitions of ADI and Legiant, we centralized our hosting, bought some equipment and now we have our clients running at primarily two facilities and that used to be about five or six when we started the year. Annually we will achieve close to $1 million of savings. In short, as we look forward to 2013 we’ve strengthened the management team. We have a management team now with Jennifer Crow, Jennifer Ross, Steven Rodriguez, Mike Kinny (ph), some of the management folks acquired from the PeopleCube acquisition, Joe, Chuck, Sean, Nigel, we feel really, really good about our management team. Our products, we feel really, really good about in the sense that their next-generation cloud-based products, mobile-based products, they’re using technology that's new to the industry. We feel like the marketplace is coming to us. Our financial positioning, we feel, is very strong with the S-3 shelf filing. We have the ability to raise money for future acquisitions should we choose it. We also have an increased facility with Deerpath that if it’s the right accretive acquisition, we have the ability to go get it. Our people have spent quite tireless hours integrating the company and we feel that largely the integration now is complete and the efficiencies have been gained. Now it’s time to execute in 2013 and the guidance of $25 million to $27 million and a large amount of that being repetitive we feel really good about it. On the cost side $6 million of EBITDA is a nice progression of EBITDA growth and if you look and have been with us since 2009, every year has been a nice increase in EBITDA growth. And with that now it’s time to execute. And Jennifer and I will -- are here to take any questions or comments that you have.
Operator: (Operator Instructions) We do have a question from [Matthew Wall from Sidoti & Company].
Unidentified Analyst: I want to ask about the new products you released using your mobile strategy in the AsureSpace and potential timeline on new product release for 2013?
Pat Goepel: Matthew, thanks for the kind words. We – FotoPunch, when we acquired FotoPunch, we liked the technology, we think with the mobile deployment of our applications, we feel that people will use mobile deployment for importing, also with different languages around Europe etc. Ultimately facial recognition for example is a great equalizer, and we have released the products in the first quarter around AsureForce using that technology. AsureSpace we have rolled out in the fourth quarter in integrated hardware solution. The facial recognition software for AsureSpace will now be targeted towards the summer months. We did – we have business intelligence that we've rolled with AsureSpace and we’ll continue to roll out through the first half of the year. In the third and fourth quarter we will offer in both products some enhanced reporting mostly focused around ROI and workflow to help our companies achieve the ROI that they are looking for on both solutions, as well as use it in a technology that they can get high adoption. When we look at our rate of utilization, what we’re excited about in our client base is we think that there is a heck of an opportunity to grow our client base within divisions of companies and with employees in the client base. Our focus on ease-of-use reporting in mobile applications will allow data to get into our clients’ hands and the more people that use the software, the more money ultimately we get paid. So we’re excited about that roadmap.
Operator: (Operator Instructions) Our next question comes from Michael Harrison, a private investor.
Unidentified Analyst: Yes, my question would be relating to the fourth quarter final earnings per share figure of a negative number, when I was under the impression that we were expecting a profit for the fourth quarter I like a little bit more insight into how that could happen?
Pat Goepel: Michael, we guided towards revenue and EBITDA from a negative, we did have some one-time charges and then with the result of the PeopleCube acquisition we had more amortization than we had at the beginning of the year. So we purposely with the PeopleCube acquisition did not have guide on the EPS number. And so because we want to be thoughtful around the amortization number etc. If you focus on the cash was positive, the EBITDA was a positive growth from the previous quarter and the one-time items were quite a bit less which reflects the integration of the acquisitions. So we did originally -- before the PeopleCube acquisition we would've hoped for a profitable fourth quarter, but by the same token with the PeopleCube acquisition and the amortization as well as the interest costs, we did not guide to a profitable quarter on EPS side.
Operator: I am showing no one in queue at this time.
Pat Goepel: Okay. Well closing remarks, in short, 2012 was a heck of a year. Our revenue growth was close to 82%. We did the right foundational acquisitions to remake the company and get it going as far as the growth. We’re excited about the investments we’ve made in sales people, management team, the growth of our products and we feel like our positioning has been strengthened organically as well as by acquisitions with the Shelf registration and the increased facility with Deerpath. We now moved into 2013 with quite a few growth prospects that we’re frankly excited about and this company is undergoing a lot of change but it’s change that we are embracing and we’re ready for, and we’re excited about the future of the company. We can only be excited because we have great clients, fantastic employees and very, very strong shareholders. We would like to thank you for your interest in Asure and if you have any questions, Jennifer and I will be available as always. Thanks again for your time. Have a good night.
Operator: Ladies and gentlemen, thank you for participating in today’s conference with the presentation. You may all disconnect and have a wonderful day.